Operator: Good day, everyone, and welcome to today's Colgate-Palmolive Company Third Quarter 2016 Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Today's conference call will include forward-looking statements. Actual results could differ materially from these statements. Please refer to the earnings press release and the most recent Form 10-K and subsequent SEC filings, all available on Colgate's website, for a discussion of the factors that could cause actual results to differ materially from these statements. This conference call will also include a discussion of non-GAAP financial measures, including those identified in Table 8 and Table 9 of the earnings press release. A full reconciliation with the corresponding GAAP measures is included in the earnings press release and is available on Colgate's website. Now, for opening remarks, I would like to turn the conference over to Senior Vice President of Investor Relations, John Faucher. Please go ahead, John.
John A. Faucher - Colgate-Palmolive Co.: Thank you, Jessica. Good morning, and welcome to our third quarter earnings release conference call. This is John Faucher, Senior Vice President for Investor Relations. Joining me this morning are Ian Cook, Chairman, President and CEO; Dennis Hickey, CFO; Victoria Dolan, Corporate Controller; Elaine Paik, Treasurer; and, Bina Thompson, Chief Investor Relations Officer. On a reported basis, our net sales were down 3.5% in the third quarter due to the impact of foreign exchange, the impact of the Venezuelan deconsolidation and the divestiture of our detergent business in the South Pacific. That said, we continued to deliver strong organic sales growth in the third quarter with organic sales up 4.5%, within our targeted range of 4% to 7% despite a continued difficult global macro environment. Our organic sales growth was driven by a combination of volume growth, excluding the impact of divestitures and the deconsolidation of Venezuela, and improvement in pricing. We delivered organic sales growth in every division this quarter, but I would particularly point out Latin America where we delivered double-digit growth on a double-digit comparison. Excluding charges from the restructuring program in both periods, gross profit margin was up 160 basis points in third quarter 2016 versus third quarter 2015 led by cost savings from our funding-the-growth initiatives and our restructuring program. This gross margin expansion allowed us to increase worldwide advertising year-over-year, both on an absolute basis and as a percentage of sales. On a GAAP basis, gross profit margin was up 140 basis points versus the year ago period. Excluding the items specified in Table 8 of our press release, our operating profit grew 1% in dollar terms and our earnings per share were $0.73, also up 1% year-over-year. On a GAAP basis, operating profit decreased 6% to $1.071 billion and earnings per share in Q3 were $0.78 compared with $0.80 in the third quarter of 2015. Through strong working capital performance, we continue to grow our free cash flow, further strengthening our balance sheet. Year-to-date, our free cash flow before dividends is up 17% year-over-year and our net cash provided by operations is up 10% year-over-year. We continue to be faced with macroeconomic challenges in many parts of the world coupled with an uncertain currency environment. Despite this, the Colgate team remains committed over the long term to delivering sustainable 4% to 7% organic sales growth with productivity driven gross margin expansion and double-digit earnings per share growth on a dollar basis. Now, we'll go through performance in the divisions; first, North America. North America posted net sales, volume, organic sales and operating profit growth in the quarter. Market shares are up year-to-date in most of our key categories and our innovation continues to perform well with a strong pipeline planned as we head into 2017. A few North America highlights from the quarter; our U.S. toothpaste business continues to grow and increase market share, with year-to-date market shares up 30 basis points. In Q3, our market share was up 70 basis points year-over-year. Our new products, like Colgate Optic White High Impact White and Colgate Total Daily Repair toothpastes are driving volume growth at premium prices. Colgate Total Daily Repair has helped the Colgate Total franchise to a 10.5% share of market on a year-to-date basis. Colgate Optic White High Impact White has helped the Colgate Optic White franchise to its highest share ever at 6.8% in the third quarter versus 6.5% year-to-date and 5.7% for full year 2015. We are also seeing sequential and year-over-year improvement in market shares for our sensitivity business, helped by our latest launch of Colgate Sensitive Smart White toothpaste. Our U.S. manual toothbrush share is up 50 basis points year-to-date. The Colgate 360° franchise continues to perform well with market share of almost 23% year-to-date, up from 20.4% for full year 2015. In particular, the recent new product launches of Colgate 360° Enamel Health Whitening Toothbrush and the Colgate 360° Total Advanced 4 Zone Manual Toothbrush, which just launched in Q3, have added one full share point year-to-date. Tom's of Maine also posted good growth in the quarter with year-to-date market share up 20 basis points versus last year driven by new products, particularly Rapid Relief toothpaste. In Personal Care, we continued to gain share in both liquid hand soap and body wash, driven by news products. Softsoap Pure foaming hand soap and Softsoap Luminous Oils and Irish Spring Signature For Men body washes are all contributing to year-to-date share growth in Personal Care. Now, Latin America; the strong organic sales growth posted by Latin America in the first half continued into Q3. Organic sales growth accelerated to 10.5% despite a sequentially more difficult comparison. Latin America also returned to volume growth in Q3 following flat volumes in Q2. All of this is excluding the impact of the deconsolidation of Venezuela. While currency and the impact of the Venezuela deconsolidation resulted in a net sales decline in this division, productivity from funding-the-growth and pricing helped deliver 410 basis points of operating profit margin expansion. This led to operating profit being down just slightly despite a mid-single digit headwind from foreign exchange. There are several highlights across the division. In toothpaste, our share year-to-date is up 20 basis points year-over-year. In our Oral Care business, we also saw share gains in mouthwash and power toothbrushes. In Brazil, our toothpaste share is at 73.2% year-to-date, up 1.1 share points year-over-year. We are seeing strong share growth, both in Colgate Triple Action and Colgate Maximum Cavity Protection. We are also seeing toothpaste share gains year-to-date in Peru, Paraguay, Uruguay and Puerto Rico. In Mexico, we maintained toothpaste market leadership with a greater than 80% share behind strength in our Colgate Luminous White brand. We believe we possess solid momentum as we head toward 2017 not just in toothpaste, but across our entire portfolio in Mexico with significant new product activity across many categories. Other highlights in the quarter for Latin America include market share gains in mouthwash behind the Plax Ice Infinity brand across the region; share gains in the Kids oral care segment behind the Minions regimen; and, share gains on our underarm protection business in Mexico behind Speed Stick, Lady Speed Stick and Stefano. Also, we had significant new product activity in our household segment; in our fabric care business with Suavitel Superior Care and Suavitel Sweet Pleasures; and, on cleaners with Fabuloso Pure Cleaning continuing to add incremental share year-to-date. Moving to Europe, Europe delivered another quarter of positive organic sales growth despite a difficult market environment impacted by macroeconomic conditions, FX and retail dynamics. Organic sales were up 1.5% in the quarter with positive volumes and negative pricing in the market. Net sales were down year-over-year impacted by foreign exchange headwinds. Market share performance in Europe is strong. We continued our toothpaste share leadership with over 35% of the market, flat year-to-date versus year ago. We have seen share of the market gains year-to-date in manual and battery toothbrushes, body wash, bar soap, body lotion and fabric softeners. Q3 highlights in the European division include: we continue to gain significant share in manual toothbrushes in Europe behind the strength of our toothbrush plus whitening pen. This premium-priced product has allowed us to gain more than 200 basis points of market share in the manual toothbrush category year-to-date. Our share momentum in body wash is continuing, up 40 basis points year-to-date behind both Sanex and Palmolive. On Palmolive, we are expanding the rollout of our Palmolive Gourmet line and are seeing strong results across many markets. While still early days, we are encouraged by the performance of Sanex Men, which includes body washes, shampoo and underarm protection. This line is focused on men's skin health. This launch is also driving solid growth in underarm protection in France and Spain. Fabric care grew nicely in the quarter in Europe, driven primarily by Germany. We will see further rollout of the Soupline Complete Care line of fabric conditioners in the fourth quarter. And now, Asia-Pacific; organic sales growth in Asia-Pacific was 3% driven predominantly by volume with pricing up slightly year-over-year. Volume growth in the division was led by the Philippines and India. Net sales were down in the quarter, primarily due to the divestiture of the laundry detergent business in the South Pacific. Operating profit was up slightly year-over-year despite the net sales decline as the benefits from pricing, mix and savings from funding-the-growth and the restructuring program more than offset increases in raw material costs and advertising investment. Some Q3 highlights in Asia-Pacific include: in the Philippines on a year-to-date basis, our toothpaste share increased 350 basis points versus year ago to 62.8%, driven by strength across multiple price tiers. Colgate Triple Action and Colgate Sensitive have combined to add more than three share points year-to-date. Other markets with share growth in toothpaste included Hong Kong, Taiwan, New Zealand, Vietnam and Pakistan. Both India and the Philippines saw share growth in manual toothbrushes year-to-date with both markets up more than 1% in share of market behind the Colgate Zig Zag franchise. We have many new product launches in the second half of the year that we think will drive continued top-line growth heading into 2017. Now, Africa/Eurasia. Our business across the division remained solid despite macroeconomic challenges and continued currency headwinds. Organic sales growth in the quarter was 8.5%, driven by growth across most of the region. The organic sales growth was driven by double-digit pricing, with volume down 2%. Net sales and operating profit were up year-over-year despite a 7% foreign exchange headwind. Significant margin improvement was driven by strong pricing and funding-the-growth savings, partially offset by higher raw materials and packaging costs. Overall, our toothpaste market shares in Africa/Eurasia continue to trend positively. Q3 highlights in the Africa/Eurasia division include: our toothpaste market share in Turkey continues to grow year-over-year driven by Colgate Total. Colgate Total brand market share is up 80 basis points year-to-date driven by the Colgate Total Pro line with share growth of Pro Breath Health and Pro White. In South Africa, we continued to grow share year-over-year and our market share is above 50% year-to-date after finishing just below 50% in 2014 and 2015. We had strong new product activity in the quarter behind both toothpaste, with two Colgate Optic White variants launching in South Africa and North Africa/Middle East, and toothbrushes, with Colgate 360° Charcoal Gold and Colgate Slim Soft Sensitive Gum Care. Moving on to Hill's, Q3 was a challenging quarter for Hill's as strong growth in emerging markets was offset by challenges in developed markets. Organic sales were up 1.5% in the quarter driven by pricing, as volume was down 2%. Net sales were also up and included a benefit from slightly favorable currency. Operating profit grew 3%. Gross margin was up slightly as funding-the-growth savings and pricing offset higher costs. Volume in the quarter was negatively impacted by a difficult retail environment in most developed markets. We continue to see solid growth in the vet and neighborhood pet channels with particularly strong growth online. Developing market volumes were up nicely, driven by Hill's Prescription Diet Metabolic + Mobility and Metabolic + Urinary, Hill's Prescription Diet Derm Defense and Hill's Prescription Diet z/d. So to sum up, in what is proving to be a difficult macro environment for consumer packaged goods companies, we are pleased with how 2016 is progressing. We are delivering organic sales growth within our targeted range and Colgate people around the world are working diligently through funding-the-growth initiatives and our global growth and efficiency program to deliver notable gross margin improvement. Our outlook for 2017, while still taking shape, is balanced in order to continue our path of sustainable growth into next year and beyond. Our innovation pipeline is full and we're excited about what is yet to come. And with that, I'll turn it over to Jessica, and Ian will be happy to take your questions.
Operator: Thank you. And we'll first go to Dara Mohsenian from Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: Hey. Good morning, guys.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Dara.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: So Ian, Hill's organic sales growth weakened considerably in the quarter on a sequential basis. It's been a few years since we saw that level of growth, so I was just hoping you could give us a bit more detail on some of the drivers there, if you view it as more of a quarterly blip or the issues could linger. And also, any commentary around category growth and if you saw any slowdown in your channels in the quarter would be helpful, also. Thanks.
Ian M. Cook - Colgate-Palmolive Co.: Yeah. Happy to do that, Dara. I must say, it would be remiss of me if I did not repeat the fact that with the array of businesses we have and in the world we are doing business how pleased we are to sustain that 4.5% clip of top-line growth and continue to expand margin and invest in the business to drive that growth. That said, you're right. As we said in the release and as John called out, the third quarter was challenging for the Hill's business. I would say, first of all, that structurally there is nothing wrong with the Hill's business. We have a very clear model which is driven by the recommendations we get for the Prescription Diet product, which cures ailments of pets, and then takes those pet parents to the Science Diet for maintaining a healthy condition; recommendation-driven, scientifically-proven with an innovation flow that is very, very strong for the business. So, not a portfolio or a structural issue. I think it is fairly widely reported that there has been a slowdown in consumer purchasing at, what you might call the traditional retail outlets. The neighborhood pet stores and vets continue to grow quite nicely, but of particular note is the explosive growth we are seeing with online. And we see that both in the U.S. and we see that in Europe, and that is clearly a growth that we are very much after, driving Hill's into that online business; and we've seen some fairly dramatic sales growth, but we haven't yet kept pace with the growth of online. So you see the traditional somewhat pressured. And while we're doing very, very well in ramping up our online business, we have a ways to go to catch the full potential of the business. So, our view is that we will see progress – sequential progress going forward and we expect to realize the full potential of that online channel as we move our way across the first half of next year. So I guess that's the way I would frame the Hill's business, Dara.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: Okay, and do you have a rough idea of what kind of share you have online versus the channels you are exposed to currently?
Ian M. Cook - Colgate-Palmolive Co.: On the Hill's business, as I suggested in my remarks, we are under-developed online; therefore, our share would be a little bit lower. There is tremendous pet parent reception to the Hill's products online, so as I said, we expect that to improve as we move through the balance of this year and across the first half of next year. But under-developed and an opportunity, and an opportunity we are going after with focus.
Operator: Thank you. We'll now go to Wendy Nicholson from Citi Research.
Wendy C. Nicholson - Citigroup Global Markets, Inc. (Broker): I just have a quick follow-up on that, if that's okay, and then a real question. But just in terms of the online strategy, is there a danger that you are being too selective? And what I mean by that is, if you go on Amazon, there are only a few Hill's SKUs available, but there's a huge amount of Blue Buffalo and Iams and Eukanuba and whatnot. So when you say you're working to expand, are you expanding on something as oriented to mass as Amazon, because I know you were very careful about not going to the mass fixed retail channel? So that's my just follow-up.
Ian M. Cook - Colgate-Palmolive Co.: Yeah. I mean, if that wasn't a real question, I'm not sure whether I have to give you a real answer, Wendy. The – but I shall. The – I think the learning in this space starts with the consumer, and what we're finding is that the consumer is not just interrogating our online Hill's pet nutrition site for information about the pet nutrition products they may choose to buy for their pets, but they're also interrogating all of the websites out there, including the Amazons of this world. So our e-commerce strategy is to reach the consumers where they are learning about the brand and where we can educate them about the brand, which is a large part of the Hill's model. And that capability exists on all of the e-sites that are out there and, therefore, our e-strategy is broad in that regard. You will see the depth of our portfolio build and you will see a Hill's presence grow sharply online.
Wendy C. Nicholson - Citigroup Global Markets, Inc. (Broker): Got it. And then, my second question, and I apologize, but just when you think about those charts that you've shown historically, per capita consumption and how it's been growing steadily in some of the really more emerging markets, are you seeing a tapering off of that given the macro? I'm trying to get underneath the volume slowdown and how much of that is a competitive activity or just how much are consumers in China and India and emerging Southeast Asia or wherever, just not shifting into the toothpaste category, specifically, maybe at the same rate that they had been historically? Thank you
Ian M. Cook - Colgate-Palmolive Co.: Yes. Thanks, Wendy. Absolutely no basis to conclude that; none. And we continue to see people come into our category. Yes, we have in these emerging markets, as you have noted, taken pricing to offset the transaction impact of the foreign exchange, but quite interestingly in Latin America, for example, we now have returned to volume growth in that geography. The China situation is very much a continuation of what we described on the last call, which is, again, a slowdown in the traditional purchasing behavior of consumers and a sharp increase in online purchasing, which has led to a destocking process from an inventory point of view that is underway. Our online business doubled, again, in China in the third quarter. Our quarter-on-quarter performance there improved and we expect, as we said on the last call, to see that improvement continue. So China is a particular circumstance that we described in terms of broad-based consumer behavior in the emerging markets; absolutely no indication that moving into our category or staying with our category is any way under pressure.
Operator: And we'll now go to Caroline Levy with CLSA.
Caroline Levy - CLSA Americas LLC: Thank you. Good morning. Ian, just looking sort of countrywide, could you discuss the increase in local competition in markets like India and China and how you are working to address local competitors; and also, just update us, perhaps, on the UK, Russia. And it sounds like you're actually growing in Brazil and Argentina even though lots of other people aren't; so just a little bit of a look around the world, please.
Ian M. Cook - Colgate-Palmolive Co.: I think you left a couple of countries off there, Caroline. So to take your one question by point, we have talked quite extensively, I think, over the quarters about local competitors. They do continue to be there. We see them in Latin America, although the intensity of that local competition has eased somewhat. We see that in India and we have seen that in China; although, again, in China the principal local competitor market share has flattened for the last couple of quarters. I think the underlying trend there, as we mentioned on our previous phone call, is an opportunity to engage. And this is really a global trend, I would say; think about Tom's in the U.S. But to engage more broadly and deeply in what you might call, generally, the natural space, and this is very much part of our innovation programming that we see going forward. In Russia, we took some very swift action in the early days of the severe currency devaluation, both structurally, both pricing, in order that we could rebuild our margins and continue to drive the growth of that business where the market share continues to grow in Russia; and quite nicely, I would add. And in the UK, despite all of the post-Brexit doom and gloom, we – our business is okay in the UK. There's nothing I would call out of particular import in that country.
Caroline Levy - CLSA Americas LLC: Thanks.
Operator: And our next question comes from Jonathan Feeney from Consumer Edge Research.
Jonathan Feeney - Consumer Edge Research LLC: Good morning. Thanks very much. My question was on SG&A. There was a nice reduction this quarter year-over-year and I'm trying to understand where we stand in terms of non-advertising SG&A in terms of total potential to make that more efficient. And specifically, can you remind me how much of that would be in dollars and, if possible, what effect currency has had and continues to have on that reduction over the past few years, and particularly this quarter? Thanks very much.
Ian M. Cook - Colgate-Palmolive Co.: I think last time we spoke, Jonathan, you said I could call you Jon. So I'll call you Jon.
Jonathan Feeney - Consumer Edge Research LLC: Oh, you can call me whatever you want, Ian. We're still on that basis.
Ian M. Cook - Colgate-Palmolive Co.: I wouldn't go that far.
Jonathan Feeney - Consumer Edge Research LLC: You don't know me that well, yet.
Ian M. Cook - Colgate-Palmolive Co.: I think the first thing we would say about SG&A is we were very pleased with the increase in advertising that we saw across all of our operating divisions in this quarter; funded, of course, by the progress we made on gross margin. You're right; we had a very sharp focus on the non-advertising SG&A expense. And of course, that progress was to be delivered by our global growth and efficiency program, and I would comment that that program remains absolutely on track. Of course, you do suffer a little bit of a deleverage in terms of the top-line from the foreign exchange point of view. So while our overheads are down on a dollar basis, the ratio is modestly up, basically in line with prior year because of that deleverage. And I would also say that when we talked about the global growth and efficiency program, even though people sort of distill it as a restructuring, part of our reason for the titling of it was we are taking some of the savings that we are making and reinvesting in capability; for example, (30:34) capability in some key markets, e-commerce capability in other markets, and traditional advertising and sampling on certain categories and geographies. But you're right, it is our intention through the global growth and efficiency program, which has one more year to run, to continue to control – drive down if we can, but certainly be selective and choiceful about where we make the non-advertising investments in SG&A.
Jonathan Feeney - Consumer Edge Research LLC: Thank you very much.
Operator: And we'll now go to Olivia Tong from Bank of America Merrill Lynch.
Olivia Tong - Bank of America Merrill Lynch: Good morning. Thank you. On the 2017 outlook, it's nice to see your expectation for a return to double-digit earnings growth next year. So what's your assumption of the macro environment underlying that versus looking at your innovation plan and anticipating greater market share improvement?
Ian M. Cook - Colgate-Palmolive Co.: Yeah. You know, Olivia, I would – we provide a 2017 guidance at this time as we do and have done for prior years, but it would be remiss of me if I didn't stress the fact that we are very much at the beginning of our budgeting process, whether that's on a GAAP basis or non-GAAP basis, and I don't think it would be appropriate to provide more color on 2017 at this stage. Obviously, as we usually do, we will come back more fulsomely in January and give you the update on the outcome of our budgeting process.
Olivia Tong - Bank of America Merrill Lynch: Got it, and I look forward to that. Perhaps, can we talk a little bit about the pricing that you saw in Q3? Is that primarily continuation of price increases that you've already taken or did you take incremental pricing for this quarter?
Ian M. Cook - Colgate-Palmolive Co.: No. No, in some markets we took fresh pricing. You know foreign exchange in some parts of the world continued to be a headwind. We faced the transaction cost impact which we had to offset. And in some material streams, think fats and oils, there was indeed some upward pressure on the underlying cost of the raw material and we, likewise, took pricing to offset that. So, there was indeed new pricing in the quarter. Actually, the one thing I will say about 2017, although I do think it's been said before, is that the innovation pipeline, as you intimated, that underlines the budgeting process we are going into is very strong.
Olivia Tong - Bank of America Merrill Lynch: All right. Thank you.
Operator: And we'll go to Ali Dibadj from Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys.
Ian M. Cook - Colgate-Palmolive Co.: Hi, Ali.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hi. I want to pull a few threads together from our discussion, today, along two vectors. One is e-commerce, obviously, is not very new. And so, are you at risk at feeling – or are you perhaps even already feeling the same impact from being underrepresented on e-commerce for any other pieces of your business, given some of the volume challenges we've seen, so especially U.S, China, arguably Western Europe? So that's one question. The other one is, I guess, more broadly and, perhaps, more importantly, just a question of sustainability, right? So – and I'm not talking about environmental sustainability, just sustainability of your numbers. It just felt like this past quarter was a little bit tougher. So, at lease versus consensus, you missed, it looks like, organic sales growth for all regions but two. You had some disappointments in South Africa; clearly Hill's, which you've talked about; clearly relying a lot more on inflationary pricing in Latin America, now a little bit more in Asia-Pacific; and then, the shares, at least from omission, look like UK might be share loss or flat, China similar, India similar, Mexico similar. So I just want your reaction to that. And I know you're going to be benign on that reaction, but really as an investor or as an analyst, what shouldn't give us pause about those types of facts looking forward? So, thanks for those two.
Ian M. Cook - Colgate-Palmolive Co.: Sure, Ali; happy to do that. The answer to your first question is, no. We are not concerned about being underrepresented. We hear a lot of our competitors talk about e-commerce, how it is a significant trend and how the full potential of it hasn't been tapped. We are seeing our market share grow and we're very comfortable with the plans we have in place of that – we have in place, period. In terms of our business, I guess it's kind of a question and a statement from you in terms of the second half. I think if you look at the macros that everybody entered the third quarter into, there were quite a few, shall we say, surprises on the downside. We have not been quiet about the challenges we have had specific to the Hill's business and we have not been quiet about the e-commerce effect in China, which we commented on in the second quarter. Our market shares, if you take our global market share, it's up on a constant currency basis. It's up on a volume basis. We are seeing the volume in Latin America come back, even with incremental pricing. And our market shares are strong around the world and we have plans, market by market, that we will be going through for 2017 that we believe will give us the confidence to sustain that 4% to 7% top-line growth in these uncertain times and create the necessary margin expansion to deliver the bottom line. So all I can really point to is the history of performance, the current performance in the quarter and the clarity of strategy and focus on delivery against that strategy, and then the execution of that that I think we have demonstrated for a while, notwithstanding comments over the years about penetration can't go up, per capita consumption can't go up, markets must slow, a whole plethora of so-called risks against the business which I think, across the company, we have successfully navigated and believe we can continue to do so going forward.
Operator: And we'll now go to Bill Chappell from SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Thanks, good morning.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Bill.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: In the spirit of sneaking in two questions, one on 2017, I know it's in budget process, but any early outlook on where we stand today, what currency headwind would be to top and bottom line? And then, the other one just on the Europe business, I think there was commentary about increased promotional and advertising, I guess, a little more than we've seen the prior couple quarters. Anything going on there? Is it getting more competitive or is just timing of new launches or any more color there? Thanks.
Ian M. Cook - Colgate-Palmolive Co.: Yes. You know, Bill, it'll be easier, actually, because I'm only going to answer one of the questions.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Perfect.
Ian M. Cook - Colgate-Palmolive Co.: I think in terms of foreign exchange, that's the reason we go through the budgeting process. We will be extremely fulsome when we meet together in January. In Europe, I don't think the European environment is a secret or a surprise to anyone. The growth is very muted. On aggregate, categories, if they're up, they're up modestly. More often than not they're flat, and in some cases they are down. And you see competitors who are perhaps overweight in Europe looking to make the most out of it. We manage that as judiciously as we can, as we have done in the past; so nothing that I would call out that is new and different in that environment.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: But something that should continue, I guess, going forward in terms of that level of promotion advertising?
Ian M. Cook - Colgate-Palmolive Co.: As it has done in the past, Bill. I mean, again, there's nothing new there.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Got it. Thanks
Operator: And we'll now go to Bill Schmitz from Deutsche Bank.
William Schmitz - Deutsche Bank Securities, Inc.: Hey, good morning.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Bill.
William Schmitz - Deutsche Bank Securities, Inc.: Hey, what's the right way to build an e-commerce business for a consumer products company? Everyone talks about omni-channel, but it seems like you're going to have to displace an incumbent and annoy them if you're really going to build out the e-commerce business. So how do you manage that and the push back you're probably going to get from some of your incumbent retailers? And then, can you just tell us how your e-commerce strategy works? Like, is there a head of e-commerce at Colgate or is it embedded in the segments?
Ian M. Cook - Colgate-Palmolive Co.: Well, I think you have to grow e-commerce businesses like any other business, for the long haul; and build them thoughtfully – build them thoughtfully. I think the principle that one starts with is that you must service the consumer where they are. And again, we are agnostic. If they prefer to shop online, we are just as happy to have them shop online with the e-commerce site of a traditional retail partner as a standalone retail outlet – e-commerce outlet. So we go where the consumer is. And as we think about that, we have globally a central capability, which I would say is strategy and capabilities oriented, that defines our global strategy, the tools and techniques and approach that we will deploy around the world. But then, very much in the operating divisions, and specifically on the ground, we have e-commerce teams and we manage the finances of our e-commerce business on a standalone basis so we understand the investments and the return we are getting from that business. So as you might imagine, for us it's planful and thoughtful and, of course, it is wrapped around by our overall digital strategy. And I would comment, you may remember the executive, Maria Elisa Carvajal, who presented at CAGNY last year about digital, she today is running our global advertising group; so taking that skill set and wrapping it around everything that we are doing digitally. But thoughtful, for the long haul, in service of the consumer, with the right global capabilities, and then a very clear on-the-ground focus.
Operator: And we'll now go to Lauren Lieberman from Barclays.
Lauren Rae Lieberman - Barclays Capital, Inc.: Thanks. Good morning.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Lauren.
Lauren Rae Lieberman - Barclays Capital, Inc.: Hello. I was hoping you'd talk a little bit about macro environment in Brazil, kind of category growth rates? And then, specifically, I think the two products that John called out in his script that are doing well in oral care would suggest you're holding on to share as consumers trade down to the more low-end of the category; so, just a macro picture and what you are seeing through your business as a result. And then, just at the risk of missing the chance for someone else to ask it, if you could run through the gross margin bridge it would be great. Thank you.
Ian M. Cook - Colgate-Palmolive Co.: Well, I think the macros in Brazil, Lauren, are pretty clear to all. And I think as we look forward, we don't see a hockey stick bounce-back any time soon. Interestingly, perhaps for reasons of the change there, the foreign exchange has behaved favorably so far this year. The net effect on our categories has been to see a slowdown from a volume point of view, albeit a growth in local currency still around that mid-single digit area largely driven by pricing. As we have said before about Brazil, our focus is on making sure whatever the category size is we are doing everything possible to stay connected with our consumer and grow market share with our consumer. And John mentioned those two new products. That's what we are focused on while having to take pricing historically as we have done, and I think we have said before that we fully expect the volume of our business to come back once that pricing has settled in. So we remain strategically committed to Brazil. We just think it's going to be a bumpy ride for the next little while. And if you take the gross profit roll forward for the third quarter, you take the prior year at 58.8% gross profit, pricing was 1.1 points favorable in this quarter. Restructuring and funding-the-growth savings were 2.2 points favorable. And the headwind of material prices was 1.8 negative, and a large part of that was related to transaction costs. The other on the quarter was a favorable 0.1 and that gets you to the 60.4% and the 160 basis points increase. Now, when we provided our results for the second quarter, you know, we made the comment that our gross profit expansion for the first half of this year had been 150 basis points and, at that time, we said that we expected – or suggested that you might want to look at the second half as being a similar 150 basis points. Obviously, this quarter was 160 basis points, so the way we would frame the year to go is to say that in the fourth quarter we would expect a sequential – as it has been for the last three quarters, a sequential improvement in the absolute gross margin percentage in the fourth quarter; sequential from the third quarter to the fourth quarter to close out the year. So we would say that's the way you should be thinking about gross profit.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. Thank you.
Operator: And we'll now go to Jason English with Goldman Sachs.
Jason English - Goldman Sachs & Co.: Hey, good morning, folks. Thank you for the question.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Jason.
Jason English - Goldman Sachs & Co.: Hey, I want to pick up on that gross margin bridge. When you do the calculations on the numbers you just laid out, it implies that year-to-date productivity in COGS dollars is running around $211 million, which is about $50 million shy of your year-to-date run rate in the last couple of years. So question one on gross margins is – with fading productivity, is this just timing-related? Should we expect it tick up or would you – rounding out year two of the most recent productivity program, is the savings winding down? And then, on inflation, inflation stepped up as a percentage of COGS, I think running around 4.4%, which is above the sub-3% rate for the first half. It's a bit surprising given FX. We would've thought the transaction drag to be abating, but I do note that it's typical with cadence for you historically. For some reason, inflation is lower in the front half and higher in the back. So I guess, on cadence, why is that the historical pattern? And is this nothing more than a replication of a historical pattern or should we underwrite the acceleration of inflation as something you're going to have to contest with on the forward? Sorry, a lot's there.
Ian M. Cook - Colgate-Palmolive Co.: Yes, there is. Starting from the end and coming back to the beginning, I think you are right to say that as foreign exchange lessens, the transaction impact lessons. And if you go back over the quarters we have reported, we are seeing that. But the other aspect of inflation is related to some of the commodities that we had mentioned in world markets where the underlying cost of the material is actually going up, and that is partially offsetting the benefit of the lesser transaction cost. Now, you know, as we get into our budgeting process and without guiding for 2017, we have so far not seen anything on the horizon from an underlying commodity cost that is a significant headwind. So our going-in position, to be validated as we go through the process, is no immediate underlying commodity issues and you've seen the forward projections on foreign exchanges yourself. So I guess that would be the answer to the second half. On the funding-the-growth, I wouldn't get obsessive about the year-to-date this year. Our funding-the-growth program is very much in the company. This is not exactly a linear predictable thing in terms of all of the projects we have, some bigger than others. Interestingly, our pipeline for 2017 is fuller than it has been in some prior years, so I would not say this is a slowdown to be expected going forward.
Jason English - Goldman Sachs & Co.: Thank you. I'll pass it on.
Operator: Iain Simpson with Société Générale has our next question.
Iain E. Simpson - Société Générale SA (Broker): Thank you very much. You're probably bored of talking about them by now, but just on those adjusted gross margins, Ian, thanks very much for the breakdown you've already given. I just wondered if you could remind us how much, if any, tailwind you've got on the gross margin level from the deconsolidation of Venezuela. And a second much broader question, channel shift is clearly causing some disruption in both Hill's and China. I just wondered if there were any other areas you'd highlight where we're beginning to see channel shift occurring and maybe we should keep an eye on them for the potential for business disruption in the coming quarters. Thank you
Ian M. Cook - Colgate-Palmolive Co.: Yes, I think e-commerce is – digital, in general, is a transformational trend in business, in general. But I think in terms of our businesses, what we are seeing is that that business, which is to say Hill's, and that geography is particularly leading edge. You can rest assured, as we answered to an earlier question, that our focus on e-commerce is a global one. And we are experimenting vigorously, even where e-commerce markets may be nascent, to try and drive as aggressively as we can; so, nothing I would particularly call out. And in terms of the gross margin, you're right. Venezuela is in there.
Iain E. Simpson - Société Générale SA (Broker): Thank you. Have you quantified the benefit from deconsolidating Venezuela at all, or any sort of indication?
Ian M. Cook - Colgate-Palmolive Co.: No, we haven't, Iain. There was a lot of clamor before the deconsolidation about the contribution to the top-line. Since the deconsolidation, that has gone away and now the clamor is on the gross margin; and, we had likewise resisted providing that single country breakout. We don't provide single country breakout information, and in 2017 it will all be behind us.
Iain E. Simpson - Société Générale SA (Broker): Thank you.
Ian M. Cook - Colgate-Palmolive Co.: Sure.
Operator: And we'll now go to Erin Lash with Morningstar.
Erin Lash - Morningstar, Inc. (Research): Thank you for taking the question. I know we've spent a lot of time on the call talking about Hill's, but I was hoping to just follow up. Beyond some of the channel shifts that you're saying, has there been any change in the competitive landscape in that particular business, specifically within the developed markets? And subsequently, have there been any notable – maybe the price gaps have been shifting relative to what you're seeing with Hill's versus the competition? Thank you.
Ian M. Cook - Colgate-Palmolive Co.: I would say the broad answer to that question, Erin, is no on both. I think, again, if you take it from the point of view of strategy, our strategy is to partner aggressively with all e-commerce channels, because that's how the consumer is shopping. So – be they e-commerce sites with traditional retailers or standalone. So if you take that definition, there are no new competitive players out there that we perhaps are not already engaged with. And, obviously, we have clear pricing strategies for our brands. Retailers are the ones who ultimately dictate what the shelf or online price is, but we are quite disciplined about the price movement of our business and I wouldn't call out anything unusual in that regard. No.
Erin Lash - Morningstar, Inc. (Research): Thank you.
Ian M. Cook - Colgate-Palmolive Co.: Sure.
Operator: And our next question comes from Steve Powers with UBS.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Steve.
Stephen R. Powers - UBS Securities LLC: Hey, good morning. Thanks. Hey, so it was discussed earlier, but pricing this quarter was, again, really strong in Latin America and Africa/Eurasia, but I wanted to come back to it because it's the first time in a while that the magnitude of the pricing that you've delivered has outpaced the magnitude of the FX headwind you faced, if that makes sense. So I'd just love to get a better idea of to what extent you feel you can continue current pricing as you play catch-up and price away the inflation that you've been absorbing over the past year. Or conversely, if we should expect pricing now in those regions to more quickly decelerate, especially as some currencies, like you mentioned Brazil, have recently trended more favorably. And if it does retrace lower, do you feel the consumer environment is healthy enough to – for you to see an offsetting uptick in volume? Thanks.
Ian M. Cook - Colgate-Palmolive Co.: Yes. You know, I think as we entered the year, we felt that volume would be a larger contributor to our growth than in prior years. As we worked our way into the year, we found foreign exchange continued to bedevil and we were, of necessity, forced to take pricing to protect our margin and rebuild the margin, which would – after three years of that gross profit being flat, to rebuild that gross profit so that we could invest in the business. And as I said in response to an earlier question, we've already begun to see some of that transaction impact lesson as foreign exchange lessons, but then we have been faced with some underlying increase in commodity prices, particularly in fats and oils, and that has led to pricing in selective markets. All of that said, there is nothing that we see that suggests that faced with either underlying commodity pressures or foreign exchange that goes in a different direction than everybody is expecting, we believe we still have the capacity to take pricing to protect the gross profit and that the consumer continues to stay with the brand – the brands through those pricing actions. So we don't have that concern, Steve.
Operator: We'll now go to Mark Astrachan from Stifel.
Mark Astrachan - Stifel, Nicolaus & Co., Inc.: Thanks, and good morning for the – at least the next couple of minutes here.
Ian M. Cook - Colgate-Palmolive Co.: Hey, mark.
Mark Astrachan - Stifel, Nicolaus & Co., Inc.: I went to ask about long-term sales algorithm sort of a different way. If end demand or global adoption of oral care isn't changing, as you said earlier, but had at least in the near term slightly weakening, that would seem to put some increased pressure on personal care and home care to perform better. I guess, given that, could you talk about trends in those two categories? I know you likely won't sort of give specifics about it, but could you talk about whether you're gaining or losing share in those categories, call it, over the last 12 months or 18 months, how you think about spend given it seems competition for those businesses is increasing these days?
Ian M. Cook - Colgate-Palmolive Co.: Yeah. Well, actually, I'm not sure the premise of the question is right, because we still think there is terrific potential for sales growth in oral care as defined today and defined more broadly, which is how we do think about it. And the pet nutrition business, which as I said in response to an earlier question, we don't see anything structurally wrong with that business apart from dealing with reaching the consumers where they are shopping. So we don't think it puts more, 'underlying pressure' on the other businesses. As you know from our strategic prioritization, after oral and pet comes personal; and we have some great brands, as you know. We have some terrific successful innovation, whether it's on Palmolive, whether it's on Sanex, which we have talked about before, all of which have been successfully deployed in existing geographies and all of which have legs to transfer to other geographies. So we'll continue to advance all four of our businesses behind the strategy we have for each, the innovation we have for each and the support we have for each in the respective markets, but we don't think there's an underlying – because of one quarter's slow down on organic from Hill's, we don't think there's an underlying weakness in oral care or pet nutrition that needs to be structurally addressed by acceleration in the other businesses.
Mark Astrachan - Stifel, Nicolaus & Co., Inc.: Okay. Could you at least talk about, directionally, whether you're gaining or losing share in those categories or maybe just sort of how we should all broadly think about it, because the disclosures, while yearly, aren't given on a quarterly basis?
Ian M. Cook - Colgate-Palmolive Co.: We do fine in those businesses. I'm not sure what a market by market litany of share would actually give to the quality of assessment. So the businesses do well.
Mark Astrachan - Stifel, Nicolaus & Co., Inc.: Thank you.
Operator: And it appears there are no further questions. I'll turn the conference back over to our presenters for any additional or closing remarks.
Ian M. Cook - Colgate-Palmolive Co.: Well, thanks, Jessica, and thank you all for your questions and participating in the call. We look forward to catching up with you again in the new year, and a happy healthy holiday season to all of you.
Operator: This concludes today's presentation. Thank you for your participation.